Operator: Good day, ladies and gentlemen, and welcome to the Q1 2018 Allegiant Travel Company Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Chris Allen of Investor Relations. You may begin.
Christopher Allen - Allegiant Travel Co.: Thank you. Welcome to Allegiant Travel Company First Quarter 2018 Earnings Call. On the call with me today are Maury Gallagher, the company's Chairman and Chief Executive Officer; John Redmond, the company's President; Scott Sheldon, our Chief Financial Officer and Chief Operating Officer; Lukas Johnson, our SVP of Commercial; and a handful of others to help answer questions. We'll start with some commentary and then open it up to questions. Before we begin, I must remind listeners that the company's comments today will contain forward-looking statements and they are only predictions and involve risks and uncertainties. Forward-looking statements made today may include among others, references to future performance and any other comments about our strategic plans. There are many risk factors that could prevent us from achieving our goals and causing the underlying assumptions of these forward-looking statements and our actual results to differ materially from those expressed or implied on by a forward-looking statement. These risk factors and others are more fully disclosed in our filings with the Securities and Exchange Commission. And these forward-looking statements are based on information available to us today and we are undertaking no obligation to update publicly any forward-looking statements whether as a result of future events, new information or otherwise. And the company cautions the users of this presentation not to place undue reliance on forward-looking statements, which might be based on assumptions and events that do not materialize. To view this earnings release, as well as a rebroadcast of this call, I encourage you as well as I encourage myself to visit the company's investor relations site at ir.allegiantair.com. With that, I'd like to turn it over to Maury Gallagher.
Maurice J. Gallagher, Jr. - Allegiant Travel Co.: Thank you, Chris. Good afternoon, everyone. Today, you're going to hear a great deal of good information from us. As you can see from the numbers, we had an excellent quarter and we have done this, I might add, in the middle of a substantial makeover of the company. Since the end of 2016, we have been in the midst of a number of strategic changes, enhancements to our business. Let me comment on three of them, which in particular pertain to the company or the airline. First challenge, aircraft transition. We ended 2016 with 84 aircraft in our fleet, 47 of them were MD-80s, four 75s and 33 Airbus. Our plan at the time was to transition to an all-Airbus fleet by the end of 2019, three years down the road. However, we updated our plans in the mid-2017 timeframe, namely, we wanted to speed up the transition by a year to have it done by the end of 2018, this year. At the time we had 41 Airbus and 45 MDs, indeed it was ambitious plan, but I'm happy to report we're on track to have the changeover finished by the end of this year as we have told you. This is a significant undertaking to arrange for all the necessary aircraft and to induct them onto our certificate. Scott will have some more color in a few moments on this area. Second challenge, operational improvement. You've heard us talk about operational reliability issues in the past. Basically, we and senior management did not execute as well as we should have, we did not provide the leadership. When Scott took over at the end of May last year, we doubled down on the requirements to fix aircraft timely. This meant a focus on the leadership in the maintenance organization, processes, the planning and the parts support. We and the ops team have done nine months – what they've done in nine months is extraordinary. By the way, these are the same airplanes, the same mechanics, same pilots, flight attendants, stations and operation control personnel that were there before we started this effort. I'm happy to report this past quarter we're among the best in completion factor in the industry and as well it shows in our financial results. The third challenge, revenue enhancements. In late 2016, Lukas Johnson talked to you at our annual meeting about he and his team's efforts over the next few years to improve unit revenues through the development and implementation of their next-gen tools. We're starting to see the fruits of this labor come to pass. Lukas will have some comments about where he and the team are in this effort. In conclusion, we are executing on the plan we laid out to you all in late 2016 with the exception being that we have moved up the transition of the Airbus fleet from end of 2019 to the end of this year. I'm cautiously optimistic as we look ahead to the rest of this year and in 2019, particularly after we have finished our fleet transition at the end of this coming year. I want to thank all of our team members for their efforts and let them know this last week's events are well behind us, but we won't forget. John?
John T. Redmond - Allegiant Travel Co.: Thank you very much, Maury, and good afternoon, everyone. First, I want to address the misleading and inaccurate reporting by 60 Minutes. We had our reliability challenges in 2015 and 2016, but that's old news. The manner and way those challenges were presented was inaccurate, misleading and not reflective of our safety culture and practices then or now. We have always had and continue to have a very strong safety culture and best-practice approach. We have the proud distinction of having the best controllable completion at 99.9% of all U.S. airlines since August of 2017. We are doing significantly better than prior year on all reliability metrics we and other airlines track. We have always had a culture of safety and these results demonstrate our focus on reliability. We have a fabulous team of dedicated, focused, and passionate men and women whose performance during this trend gives me the comfort to state these results are the new norm. The customers are obviously experiencing these improved results as reflected in the just-released American Customer Satisfaction Index, which showed Allegiant tied for third in the airline sector with American and Delta. We experienced the most significant year-over-year gain of any airline. Kudos to our CELT team whose efforts in the customer service area have had a major impact. Since this inaccurate and misleading reporting last Sunday, we've experienced cancellations and a reduction in booking. The degree of these cancellations and bookings have reduced each day to a point we are starting to reach normalcy. As a result, we are not changing our full year EPS guidance. This story is behind us and we won't be commenting any further as we move forward. Sunseeker, give you a quick update on financing. Of course, we've had numerous parties express an interest in wanting the finances project which has been extremely impressive. We are currently negotiating with multiple parties on parallel tracks and making great progress. Again, no change to what I've communicated in the past. We're looking at this as being at least 80% project cost financing, non-recourse, no pre-sale requirements and no other hook. Given the progress we're making, we expect this financing to be completed sometime in Q2. Regarding sales, we have slowed down our efforts as we concentrate completing construction plans and related content necessary to sell this product. Having said that, we still have 45 signed registration agreements and another roughly 500 people who have expressed a strong level of interest by clicking on the Become an Owner button on our website and registering. Again, extremely impressive since we have nothing to show other than a floor plan. And the other impressive data point, we average about 1,700 users a day at the Sunseeker website that peaks from time to time to around 3,700 a day, but we're averaging in that range and we have not spent to date one dime on marketing. We'll be opening up a sales center. We expect that to open in September, of course, of this year. There's about 30,000 cars, I'm sure most of you know, drive by that location each and every day, and we intend to use that sales center to do the obvious, which would be sell product, but not so obvious, also to create more focus on the brand and to also create interest in the hotel. Give you an update on some timelines. The first of numerous public improvements will start in June, June of this year, of course. That is a street called Main Street which runs from the Tamiami down to the Waterfront. That'll start in, as I said, in June and be completed in December. We will start with street closures and site work next month in May, and that'll go through May, June and July. A vertical construction on the site you'll start to see in the August/September timeframe, and when we build that sales center, we'll also start to put in the perimeter walls and landscaping to start creating that brand exposure, rhythm, design, and awareness that we want to get started with early. And of course, not much changed with the opening date. We're still looking at a February 2020 opening date. One exciting and last point to make on the Sunseeker Resorts, we have hired a Executive Vice President, Chief Operating Officer for Sunseeker. That individual will start with us on May 14, and we'll put out, of course, a press release and make further announcements when that happens on that date. And speaking of new hires, we have sitting here with us today the gentleman, Scott DeAngelo. He started with us just March 19. He, of course, started his career with McKinsey where he spent four years and he joined us from Worldpay where he led product, revenue and data. Of course, it's great to have him on board, and look forward to the impact he will have. And just to make sure I don't forget because I didn't state it upfront, at least to my mind, I guess, think of the obvious, he joined us as our Chief Marketing Officer. So, again, very excited by that. And on that note, I'll turn it over to Lukas.
Lukas Johnson - Allegiant Travel Co.: Thanks, John. Good afternoon, everyone. So, quickly reiterate a lot of what John just said as I know there's a lot of interest in our booking trends the past ten days and, as one would expect with all events of this nature, there's initial drop-off in bookings. However, each day since then has been better than the previous day in terms of year-over-year performance. Cancellations stabilized quickly within a couple of days and there's been no significant change in no-show rates, which is a good sign that the vast majority of our passengers know that safety is the top priority for us. One other positive data point is that April close-in bookings over the last ten days have been higher year over year, so those have held up significantly well. I'd like to give a little bit more detail into our revenue results for the first quarter of 2018, as this was our first quarter that we had not provided a previous forward guidance for you all. We are extremely pleased with how the first quarter ended up revenue-wise. As seen in our monthly traffic releases, this was our largest quarterly gain in load factor this decade. Our load factor has improved a staggering 2.9%. This was achieved with only a 50 basis point drop in our stage one adjusted (12:00) yield, so it wasn't through extreme discounting. And it's due to a lot of things, but we'd like to point out our next-gen RM system was able to better predict lower demand flights yielded more precisely in the peak spring break period and overall in markets that we're testing, which was over 80% of the ASMs, it was consistently found to be worth about 1 to 2 points of TRASM overall. On an apples-to-apples comparison, excluding the impact of the new revenue recognition rules, which are in the release, TRASM improved 2.5 points year over year for the quarter. One other note is, we did grow off-peak flying 21% in the first quarter compared to only 7% on peak days, which is an excellent result given that headwind. So, a job well done to all those that helped deliver these stellar results. And finally, a few puts and takes on the cadence of upcoming quarters. Easter shift to the second quarter is going to be approximately a 200 basis point headwind with the spring breaks moving for a number of markets. And in off-peak, growth update for the second quarter, we'll be growing about 15% on off-peak days and peak days will be up about 10%. So, it's a little bit slower than the first quarter, little bit less of a headwind, and then for the third quarter, we're actually going to be growing peak day ASMs for the first time – more than off-peak, for the first time in several years. And with that, here's Scott to talk about the fleet and operations.
D. Scott Sheldon - Allegiant Travel Co.: Thanks, Lukas, and good afternoon, everyone. Yeah, just a couple of quick comments. First one to thank all of our team members, service providers and partners across the network for their tremendous efforts. Everyone should be really proud of our first quarter results. Our operational execution continues to improve. And that's a direct reflection on everyone's hard work and commitment to putting out a great product day in and day out. And to end, I want to recognize the incredible efforts of our fleet planning, fleet integration and maintenance engineering teams. Going into 2018, we knew there was significant execution risk surrounding our accelerated fleet transition. Inducting 30 Airbus aircraft and retiring 37 MD-80s in a 11-month period would be impressive for our organization. Moreover, our second quarter activity which has 16 Airbus inductions from six different operators and five MD-80 retirements is more than we would typically take on and accomplish in an entire year. Despite the number of challenges ranging from late arriving aircraft, assembly and kitting delays, induction work scope modifications, our team members continue to execute on time and on target. And with that, I think we're ready for questions.
Operator: Our first question is from Hunter Keay from Wolfe Research. Your line is now open.
Hunter K. Keay - Wolfe Research LLC: Hey, guys. Thank you. So, it sounds like you're back to normal on bookings, and if you look at the overall revenue performance in 1Q and the positive contribution from the load factor from the new RM system and the cost items that you gave us with maintenance and D&A and fuel being roughly the same, is it fair to assume that we can actually raise the low end of the EPS guide this year? (15:38) a big range of outcomes. Is it fair to assume that you're tracking, maybe not above midpoint, but certainly like can we shave off $0.50 on the bottom part of that EPS range at this point?
John T. Redmond - Allegiant Travel Co.: Hunter, I think this is the first time, of course, that we've followed this approach and just given annual guidance upfront. And I think we still think it's a little bit premature to do that. I think we were very impressed with what happened in the quarter, obviously, and that's one of the first inclinations you tend to react with. But there's still a lot of runway in the year, nine months left. So, I think that's something we'll obviously take a look at, and we chattered about before, looking at that after six months. But I think right now, it's probably a little bit too premature to do that.
Hunter K. Keay - Wolfe Research LLC: Okay. I think that's fine. And then, the near 3 point improvement year-over-year on loads, Lukas, do you think we can get back above maybe 6% in 2Q? Or maybe I'll ask the question differently, can we expect a similar degree of magnitude of increase of load factors as we move through the course of the year compared to what we saw in 1Q?
Lukas Johnson - Allegiant Travel Co.: Thanks, Hunter. I think 1Q will be the high point for that, if the worlds to be (16:54) up year-over-year in terms of load. But, as you get up to where we were through the summer, loads were a little bit better last year. So, I think we'll be focusing a little bit more on the yield side of that and I think it just depends on peak periods versus off-peak periods. We're taking a little bit different approach – or the system is taking a little bit different approach with whether you target load factors and yields. So, I'd expect some of your off-peak months towards the end of the year to have some load factor improvements and we'll focus a little bit more on yields in the peak periods.
Operator: Thank you. Our next question is from Duane Pfennigwerth from Evercore ISI. Your line is now open.
Duane Pfennigwerth - Evercore ISI: Hey, thanks. Maybe for John or whomever, but based on some of the press reports in Florida, it sounds like the hotel is bigger, there are more condo towers and perhaps there's been some horse trading or promises of construction on behalf of the county. So, I wonder if you could just give us an update on the scope of Sunseeker versus your initial plan.
John T. Redmond - Allegiant Travel Co.: Hi, Duane. There's no doubt there's been a lot of noise out there and some of it's driven by when we still get – we start to get more clarity on financing, we get more clarity on tax law changes and how that impacts the overall development and we looked at this, of course, a year ago and there's been a lot that's been happening and all favorable. So, it makes sense for us to take a look and see given these changes that we're seeing what's going to make the most sense to do going forward for Allegiant. So, I think we're going to be in a better position to communicate that in conjunction with any kind of a press release we would put out around the financing approval because at that point in time is when the board would be approving what the project scope would be at the same time. So, for us to say anything in advance of the board weighing in on that I think would be a little bit premature. So, for that reason, we'll hold off. But again, we do expect to get this financing done in Q2. So, I think you'll get a lot more color around what that project is going to look like. And it'll pretty much be locked down. I mean, because you're not going to see once the board approves a project, I mean, and once the financing has been approved, that's the project. So, I think we'll put a lot more definition around that sometime over the next couple of months.
Duane Pfennigwerth - Evercore ISI: I appreciate that. I mean, there is a fair amount of commentary that's in the public domain and so, for example, just the hotel, it sounds like that's now like a 275, 300 room hotel, not saying you've committed to do it, but that is quite a bit larger than the initial presentation. Is that fair?
John T. Redmond - Allegiant Travel Co.: Well, I think when you – some of that commentary comes from is the initial announcement. If you go back to early on, the hotel was going to be I think 76 rooms. We were going to build out and we were going to shell the remaining expansion rooms of approximately 200, so that the total hotel size was roughly 277 rooms. So, it was always sized from day one to potentially be that large. Now, as I say, as we move through the project and understand a lot of the data points more and what's going on in the market, that's where there's probably a lot more noise as to what we may do. And, of course, a lot of it's speculation and frankly like everything we see from time to time, there's a lot of misreporting. But, we'll be able to put complete clarity on that when we do approve the financing and, therefore, the board has signed off on the final scope of the project.
Operator: Thank you. Our next question is from Joseph DeNardi from Stifel. Your line is now open.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Yeah. Thank you. Maybe Lukas or Scott, I think, at Investor Day, you guys talked about thinking of EBIT per aircraft and you had maybe $5 million for the A320s. I wonder if you could just revisit that at this point and when you look at your fourth quarter plan, once you have the MD-80s out, what is the actual EBIT per A320 in that period?
D. Scott Sheldon - Allegiant Travel Co.: Yeah, Joe, yeah, that's correct, that was for A320s on our Investor Day slide. It was roughly around that $5 million in EBIT contribution and I think fuel is up a little bit, which will adjust that just a tiny hair down, although we had a $2.17 a gallon full year number in there. So, it shouldn't be adjusted too much. I think that's a pretty close number to what we are still expecting given this revenue environment.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. And then, Scott, just on the cost side, you made it through one of the peak periods here, it seems pretty well. Can you just talk about kind of the milestones, the rest of the year, and from a guidance standpoint whether you guys see more upside on the cost side or the revenue side?
D. Scott Sheldon - Allegiant Travel Co.: Yeah. I think if you look at the first quarter, I think the big surprise, which definitely beat our internal expectations, although we don't guide ex-fuel, we beat it pretty handily, if we saw a nice movement in the maintenance area. So, a lot of the initiatives that were launched in 2017, these being specific strategic part initiatives, buying better, our mechanics are troubleshooting better, there's just a lot of inefficiencies and costs that are coming out of the organization as we run a better operation. I would suspect that would continue on. I think if you look at it, we used to guide maintenance per aircraft per month. If you look at that ex-heavy-maintenance, we're seeing a nice drop-off, as much as $20,000 per aircraft per month in the first quarter. Ideally, if we could keep that sort of cadence, we would see a nice move downward. Other than that, everything else relatively was in line. So, I mean, I think, like I said, since we don't guide ex-fuel, everything else is tracking fairly well. Obviously, we still are carrying a lot of flight-crew members, we're still very inefficient because we have so many folks going through the training pipeline, which will absolutely take us through the end of the year before we start to see a lot of those efficiencies come through.
Operator: Thank you. Our next question is from Andrew Didora from Bank of America. Your line is now open.
Andrew G. Didora - Bank of America Merrill Lynch: Hi. Good afternoon, everyone. Scott, just to follow up on the unit costs. I think on the January call you mentioned that you expect your trajectory to be down in 2018. Does that still hold? And, I guess, is 1Q a good run rate for CASM ex-fuel? Are there any quarterly anomalies that we should be thoughtful of as we go through 2018?
D. Scott Sheldon - Allegiant Travel Co.: I think, directionally, it's definitely down. I think, if you look at the year-over-year comps, the reduction in ex-fuel as a percent is probably at the low mark right now, so that should accelerate because there's obviously higher costs in the back half of the year. But I think, directionally, absolutely these costs should come in, in 2018.
Andrew G. Didora - Bank of America Merrill Lynch: Got it. And then, John, I guess, just with Sunseeker, you talked about looking towards – for a financing approval in 2Q. Can you maybe talk about any interest you have seen from maybe being a more sophisticated and pure like real estate, private equity, or other types of entities looking to partner in this project? Do you think this could be an option that could potentially help you de-risk the project a bit and let it become more of a pure fee business for you?
John T. Redmond - Allegiant Travel Co.: The one thing we've always talked about, mentioned, and will pursue once we're further along in construction efforts is management contracts. But when you look at this particular project, I mean, we like the optionality that the company will have going forward. We can make any of these decisions down the road whether we want to own, sell, manage. Those are all options that we're going to, obviously, have at our disposal going forward, and those are for our board to decide out in the distant future. Right now, the financing sources that we've been talking to, they are very interested in the project. The interest rates are extremely favorable, the terms are extremely favorable. And these aren't from traditional banks like we all know and love, whether it be a Wells or a BofA, these are from, call it, these other sources that you're talking about. So, there's been a lot of interest in the project and we're excited by that. But we will start pursuing management contracts which obviously is the asset light approach to what we want to do going forward. And we will start going after those management contracts. Probably sometime in 2019, we'll start chasing them down. So, we'll have a lot of people that'll start coming on staff and being led by this new gentleman who's going to be coming on board. So, he'll have the resources at his disposal, the résumé, the street cred for us to start going after this.
Operator: Thank you. Our next question is from Helane Becker from Cowen. Your line is now open.
Helane Becker - Cowen & Co. LLC: Thanks, operator. Hi, gentlemen. Thank you for the time. Let's see, I just have two questions. One is, I look at your revenue trends over the last, say, 20 quarters. You've really moved up, right? You went from sort of in the, let's say, $350 million, $370 million range to like $425 million. So, there's sort of an A and a B. The A part of the question is probably for Lukas. Is this the revenue management system that's driving this improvement? And the B part is, are you able to cover your fuel cost increases which were substantial in the first quarter, not just for you, but for everybody, with the revenue management, and should we be thinking about this as like the new run rate going forward?
Lukas Johnson - Allegiant Travel Co.: Yeah. That's a lot there, Helane. Thank you. So, yeah, the RM system is going to lap and in second quarter, third quarter still going to be on some pretty significant comps year-over-year that we're going to see some benefits. And as we get into the fourth quarter, you start running up into a little bit higher ASMs than we were running on the system. But having said that, the team is working continually and I think the beauty of the system is that – the way it was designed, it's built for continual improvement. So, right now, we're still about 80% of our ASMs on the system. And the reason we haven't gone to 100% is because we're still seeing enough opportunity to improve the bulk of the 80%. We think there's still plenty more than the system can do, and that's exciting. In terms of the fuel component, it's not really a revenue management system thing per se, it's more about the customer price perception about what is an affordable fare versus driving, versus other carriers. I think, typically, you'll have a pass-through a little bit on the fuel side, that if fuel is to go up X amount, you're going to recapture Y percentage and the industry will see that, in general, not just us.
Operator: Thank you. Our next question is from Savi Syth from Raymond James. Your line is now open.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good afternoon, everyone. Just taking a little bit of a step back, compared to the past, I think there are two big differences in the model today: one is you have a younger, more fuel-efficient fleet and the other is maybe a greater presence in the mid-size market. So, kind of wondering with the run-up in field (29:37), if you could talk about two factors that – what these two factors might drive, one, in terms of capacity decisions and two, in your ability to kind of push through those fare increases.
D. Scott Sheldon - Allegiant Travel Co.: Sure, Savi. So, in terms of capacity decisions with the fleet change, it's really we're just as flexible as we always have been. We've exited, I think, out of four cities so far this year. So, the discipline that we've always had to cut, to move markets, to redeploy our assets as best seen is still here. It's something we're really proud of in terms of the granularity that we allocate that capacity, and if I don't see that changing, I think if anything, the Airbus because it is so much more efficient, you're seeing us being able to make markets and seasons, day-of-the-week work that the MD-80 simply wasn't able to. And I think, you're always looking when you're making a capacity decision on your most marginal flights, and I'd say, fuel goes up, the revenue environment changes, macro changes, we still have just as much flexibility as before. And the mid-size market, again, you have much more destination opportunity or much more connect-the-dot opportunity out of these larger markets, where, if you look back five years ago, we didn't have any city in the system – any origination city – had more than six destinations, and now we've got a couple that are high teens or 20 destinations with are connect-the-dot. So, I think the optionality in the model continues to expand.
Operator: Thank you. Our next question is from Michael Linenberg from Deutsche Bank. Your line is now open.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Oh, hey. Good afternoon, everyone, and thanks. Just two questions here, I guess. One, to Lukas. Lukas, you talked about the RM system – the new RM system and the fact that it enhanced TRASM 1% to 2% in, I guess, 80% of your ASMs and you talked about a bunch of different factors like competition. And I'm just curious how markets, where – markets that are unique to Allegiant versus markets where you do have competition, how the RM system, or the results have differed, if at all? What you're seeing?
Lukas Johnson - Allegiant Travel Co.: Yeah, Mike. That's a great question and, obviously, in a unique market where we're the only carrier, this is – I kind of call it the economic sandbox, you're able to do almost anything you want in terms of pricing. And so, you're going to see a little bit more of an effect because typically the fare umbrella over a connecting legacy comparable roundtrip is going to be several hundred dollars higher. It's really not even a consideration outside of the schedule for our passengers in those markets. So, you're going to see a bigger effect in those markets and then in the more competitive ones, the system is still better, but it's that if there's, say, a $100 fare umbrella over you versus a $500 one, they're just not as much your ability to yield up. It still does identify kind of the off-peak flights as well, but if I had to say, it tends to perform a little bit better in the unique markets.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. Great and then just a second question, this is to Scott. When I look at your tax rate and I think where you were guiding to at the beginning of the year, it looks like the tax rate is coming in a couple of hundred basis points better. Is that the right run rate for the year? And is there anything driving that? Or is it now that the dust is settled you're better able to come up with a more precise forecast for where you think your tax rate is going to be for 2018?
Gregory C. Anderson - Allegiant Travel Co.: Hey, Michael, this is Greg and I'll take that one. And yeah, you're right, that 21% of the guidance that we put in, the tax rate, that's the right run rate for the year. And if you remember back in 2014, we acquired those 12 aircraft that have been on lease to easyJet and as they were acquired, they were acquired under special purpose companies each one in Germany. And so, what we had are some tax adjustment that we kind of went through this year for the dissolution of those special purpose companies as they come back. Without getting too much into it, there's differences between U.S. GAAP and German GAAP. The U.S. GAAP required us to put a DTL up on the balance sheet in our effective tax rate and then as we're bringing those or dissolving those SPCs, we're allowed to reverse that, which is the major drive between the decrease in the effective tax rate.
Operator: Thank you. Our next question is from Dan McKenzie from Buckingham Research. Your line is now open.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Oh, hey, good afternoon. Thanks, guys. John, so the resort development is essentially go here with attractive financing sometime in the second quarter. I know you're not ready to talk specifics, but should we be thinking that there's going to be a cost/revenue mismatch just given employee wage, incremental wages and interest expense relative to revenue generation? And if so, could it be material? Or does the full year EPS guide factor in any potential mismatch here in the near term?
John T. Redmond - Allegiant Travel Co.: Well, it's a good question, one we've taken a look at. We think most of what we're going to see in the balance of the year is going to be capitalized. So, there's always nuances around that, but for the most part, I'd imagine a significant amount of any labor that we would have would be capitalized, as well as a lot of the expenditures relating to the project. So, I don't think that there is any change in that regard. And to the extent that there's going to be any interest impacts, which presumably if we get a deal done in the second quarter, there is going to be some element of interest. When that would start would be something that we would give clarity on when we announce the project. But again, that type of interest would be capped. And there is capitalized interest rules surrounding that whole issue. So, I think the one thing that we'll make sure that we put out there when all this is done and we are fortunate enough to announce it is all the impacts, what these numbers are going to be, what they're going to impact. But at this early stage, I think you can assume that no significant impact to EPS because of everything being, for the most part, capitalized.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Thanks for that clarification. Second question, revenue coming in stronger, just kind of following up on some of the prior questions. I'm just wondering if you can talk about how demand sort of trended throughout the quarter. What we're hearing from some of the other calls is there was a pickup in demand at the end of March, but it's hard to know if that's holiday-related or if there's something really more fundamental going on to drive that as we head into the second quarter here.
Lukas Johnson - Allegiant Travel Co.: Yeah. I would say that's accurate with what you're hearing from other carriers. The first half of the quarter, which is quite off-peak, we did have pretty significant increases in loads, but the yields weren't quite there. And as you trended further and further into March, we had some significant outperformance both in the flown dates and also booking dates for that period.
Operator: Thank you. Our next question is from Steve O'Hara from Sidoti & Company. Your line is now open.
Steve M. O'Hara - Sidoti & Co. LLC: Hi. Good afternoon. Just on the Sunseeker project, what's the timeline on kind of providing the total cost estimates and maybe your ROI projections and things like that? How granular do you expect to get on that topic and maybe when you expect to provide it? Thank you.
John T. Redmond - Allegiant Travel Co.: Thank you, Steve. I think you can expect us to announce a budget at the same time we announce the financing, and of course we would be announcing at that same time the board's approval of that project. So, all of that you'll have a lot more clarity on, as I mentioned, sometime in Q2. It would not be our intention at that point in time to announce what the revenue expectations would be in that project. I mean, we've been doing our own internal homework as we continue to look at and evolve the project. But that would not be something that we would contemplate doing at that point in time. We might give you some guidance as to how we're looking at the returns, just so you have a feel for what it is and why we're doing it. But, at that stage, to give you like a revenue, expense and EBITDA type number would not be something that we will provide in that degree of detail, at least not in the Q2.
Operator: Thank you. Our next question is from Kevin Crissey from Citi. Your line is now open.
Kevin Crissey - Citi: Thanks. Just a follow-up on that, John. Just maybe you could talk about when you do go to the board for Sunseeker, what are the financial metrics that you are going to provide them, not necessarily what those numbers are, but more what financial hurdles you are looking at for the project when you discuss it with the board?
John T. Redmond - Allegiant Travel Co.: I think, the one thing I should make sure I'm clear on is, we've been having conversations with our board since we started this. So, it's not like when we do make a presentation to them for a final approval, it's the first time they would've seen it or understood the project. So, these conversations – we give the board update and the board gets quite a bit of clarity at each and every board meeting. So from that standpoint, they're pretty educated on the whole project and why it is – what it is we're going to do. I think all the various metrics that you would think of, whether it's the IRRs and everything else, return on assets, return on whatever you want to use, I mean, we're using the same standard ways of evaluating this project that you or anyone else would. So, and that same type of information is what would be presented to the board. I mean, they're looking at what's the downside, what's the upside like anyone and trying to quantify all that. Of course, when you're looking at non-recourse financing, it helps get your arms around it much better and that's always been a condition of the project from the get-go. We said from day one, the idea is not to lever up the balance sheet, and we don't intend to do that. That's why we're pursuing the course that we are. But we have been pleasantly surprised by what the financing rates, terms, et cetera are out there. And that's what's been a great outcome out of all this. It wasn't expected just because we hadn't looked at it obviously until we got into the throes of it over the last couple of months, but it's been very favorable.
Kevin Crissey - Citi: Sure. Thank you.
Operator: Thank you. Our next question is from Duane Pfennigwerth from Evercore ISI. Your line is now open.
Duane Pfennigwerth - Evercore ISI: Thanks. I just didn't get enough. Just on the financing, can you comment on if you're looking for sort of first phase financing? Or would you be able to sort of take down the whole enchilada?
John T. Redmond - Allegiant Travel Co.: I'm going to state the obvious, but I'm going to assume you're talking about Sunseeker?
Duane Pfennigwerth - Evercore ISI: Yes.
John T. Redmond - Allegiant Travel Co.: Yeah. So, the idea depending on – we're definitely going to have this project would be done in multiple phases, right? So, we've had some very interesting conversations with some of these sources that are looking at they're so interested in it, they want to be involved in the entire build-out of the project. So, we're evaluating what the related costs are to doing that to make sure that it's something that would be of interest to us as well. So, obviously, at a minimum would be phase one and to the extent we also would try to tie up everything that would relate to a future phase, it's just a function of terms. So, if they are extremely favorable, ones that we've put out there and all of you were wowed by them as well, you could probably envision a scenario where we would be just as wowed. So, that's how we're looking at it, phase one first, but if someone's interested in doing everything and we have had that level of interest, then we will look at it, just for no other reason not only the favorable terms, but the certainty.
Duane Pfennigwerth - Evercore ISI: And then, does that act as a credit line? So, in other words, as you draw against it, it would show up as debt on the balance sheet? Or would it all be sort of on the balance sheet day one? Thanks for taking the questions. That's it.
John T. Redmond - Allegiant Travel Co.: No worries, Duane. I think you could look at this as being draws. So, the balance sheet would build as we draw.
Operator: Thank you. Our next question is from Joseph DeNardi from Stifel. Your line is now open.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Yeah. Maury, just two questions for you. I guess, it's pretty clear that you and the board spent some time trying to come up with ways to kind of leverage the airline into businesses that were less cyclical perhaps. Were there other avenues that you guys maybe considered going down and ultimately you landed on Sunseeker? I mean, what else did you guys come up with as options?
Maurice J. Gallagher, Jr. - Allegiant Travel Co.: Well, Joe, the main thing we've talked about over the years and we've done very well with is our third-party products and that's primarily been our hotel product. And with John coming on board in 2016 September, the focus was primarily hotel. There's some other things we've done, the Teesnap, which is the golf, and we've looked at other opportunities. But that's the one that we thought had size and scale, and given where we found the land and done everything, I think – I know I am and the board are all in for all the synergies that go with this are just phenomenal. And we're really going to – it's hard now to kind of see around the corner a couple years from maybe where you all sit, but when you look at the benefits of Punta Gorda sitting 15 minutes away with 1.2 million people coming in and out, the traffic coming from vacation heaven, Cincinnati, Pittsburgh, Indianapolis, that's the west coast of Florida's backyard. All those things, the ability to cross market now with Scott on board – DeAngelo, we can offer you our loyalty programs, we can tie in perhaps golf, and some other things. I mean, just it's all building to this bigger picture of a customer is a leisure customer that does more than just fly on an airplane. They go to resorts, they go, in my case, to NASCAR events, they go to all these different things. And how do we kind of capture them and make them think of us first for a leisure event? And the Sunseeker resort is just a great anchor point to start bringing all that together.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, Maury.
John T. Redmond - Allegiant Travel Co.: One of the things we used to talk...
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Sorry, John.
John T. Redmond - Allegiant Travel Co.: No, it's okay. One of the things we used to talk about in that regard is kind of like analogous to Disney, right? If you look at someone's travel budget, we're getting 5% to 10% of it. And we're not getting the other 90%, 95%. Disney, if you look at their approach, they're getting the 90%, 95%, right, which obviously is much more significant. So, that's why, as the board looked at this, it was always something that was extremely synergistic to go after the balance of the travel budget that we are driving. I mean, we're the ones bringing all these people into all these markets. We just think it's a natural extension of our business to have hotels complete that ecosystem, if you will, to go after the entire 100%.
Maurice J. Gallagher, Jr. - Allegiant Travel Co.: Joe, the other thing is, and this is probably the reason one, as we have the expertise sitting in the gentlemen to my right you just heard, no other company in this space has this kind of expertise that I'm aware of. And we're leveraging that. Wouldn't even begin to think of anything of this size, scale, or scope without that management expertise and the ability to, we believe very strongly, execute.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Okay. And then Maury, just with the buyback, I mean, can we assume that the share count in second quarter is going to be lower than first quarter? I mean, have you been able to encourage yourself to buy back some stock here?
Maurice J. Gallagher, Jr. - Allegiant Travel Co.: Well, we certainly can encourage ourselves. We have to obviously look at our capital demands and we're putting 30 airplanes on this year and it's unfortunate some of the timing on this is what it is. But we have to make sure we maintain some reasonably good liquidity environments, but it's a very tempting point, Joe.
Operator: Thank you. Our next question is from Rajeev Lalwani from Morgan Stanley. Your line is now open.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Good afternoon, gentlemen.
Christopher Allen - Allegiant Travel Co.: Hi, Rajeev.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Two questions for you. Actually, Lukas, I wanted to come back to some of the comments you made earlier. You gave some good data on the shifting between off-peak versus peak growth. Can you help us maybe quantify the impact of something like that, say, if in the first quarter you had more balance between peak and off-peak growth, what would be the RASM impact of that or however you're able to quantify it, or approach it if you're following my question?
Lukas Johnson - Allegiant Travel Co.: Yeah. So, the first, I think for the full year for 2018, the impact on TRASM was just over 1 point to 1.5 points and that would be weighted a little bit heavier obviously towards the first quarter and then the third quarter shouldn't see any kind of headwind because we're slightly growing peak days. So, I would say 1.5 to 2 points for the first quarter, flat for the third quarter, second quarter and fourth quarter are going to be kind of in the 1-ish range.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. Yeah, that's perfect. And then just coming back to what you were describing earlier in terms of the 60 Minutes piece, et cetera, is that having any sort of impact on your interactions with the FAA, or are you going to have more inspections now? Is there anything that we have to consider from a CASM perspective as it relates to labor around getting pilots and flight attendants? Anything of that sort that you can provide color on would be great.
John T. Redmond - Allegiant Travel Co.: No, there's no impact to any of that.
Operator: Thank you. Our next question is from Hunter Keay from Wolfe Research. Your line is now open.
Hunter K. Keay - Wolfe Research LLC: Hey, thanks for the follow-up. Can you – there's a lot of moving parts with 2Q RASM number between calendar and the news story and all this other stuff that happened. Do you want to help us maybe, Lukas, give us an order of magnitude of how to think about the sequential change in RASM just for modeling purposes so consensus doesn't get kind of too wacky at either end?
Lukas Johnson - Allegiant Travel Co.: It sounds like you're asking for a guide in a sneaky way.
Hunter K. Keay - Wolfe Research LLC: We can talk about it in terms of like margin or earnings if you want. I don't really – it doesn't have to be RASM or anything...
Lukas Johnson - Allegiant Travel Co.: Okay. If I put in Easter, Easter shift is about 200 basis points. Obviously, the RM system is doing well. We've got a bit of a headwind with off-peak flying, a little bit of headwind on the story, and network is outperforming a bit, based on shifting some new market versus canceling some underperforming markets. So, I'd say that's a net positive, and I would say ask Christopher Allen...
Christopher Allen - Allegiant Travel Co.: Oh, sure.
Lukas Johnson - Allegiant Travel Co.: If you want to get a little bit more detail about that story.
Hunter K. Keay - Wolfe Research LLC: Okay. All right. Thanks a lot. Appreciate it.
Operator: Thank you. Our next question is from Dan McKenzie from Buckingham Research. Your line is now open.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Oh, hey. Thanks for the follow-up again, you guys. This question is for Scott. I guess, congrats on your new role. I'm wondering if you can help us understand what you bring and what the initial priorities are going to be, and what the biggest concerns around execution might be from your perspective.
Scott DeAngelo - Allegiant Travel Co.: You bet. Thanks for the question. I think that – and we're talking about marketing, right... (51:17-51:23)
Scott DeAngelo - Allegiant Travel Co.: But, no. It's a great question. Traditionally, when we think about Chief Marketing Officers and marketing in this business, we think very traditionally, the top of funnel things, awareness building, driving bookings. And I think what my experience brings is really more around the areas that are really going to drive a successful ecosystem play, and that's one in and around loyalty. So, as we think about, how do we provide a functional and processing relationship benefit to our customers that makes them likely to engage, not just with the airline, not just with our current hotel and car partners, but ultimately with Sunseeker, ultimately with our sponsored partners, et cetera. And then the second, and probably the most direct from the last seven years of Worldpay, is really around how do you build a killer digital user experience that makes it easier for customers to search, to find, to plan, to book, and ultimately to buy in a very streamlined and frictionless process. And so, I'd say from the last seven years of leading product and revenue and data, and seeing data and technology come together for the likes of the Amazons and Netflix, the Ubers and the Airbnb, right and certainly even in travel and leisure, right, that confluence that makes you a winner when you look to move across the value chain and capture the type of economics that, as John put forward earlier, the likes of The Walt Disney Company are able to do.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Biggest concerns around execution?
Scott DeAngelo - Allegiant Travel Co.: I think, in general, we're in a great spot with a ton of upsides, so there are no great concerns. Certainly, the events of the past week would naturally lead one to think there are. But the bad thing a Chief Marketing Officer, and moreover, a marketing team can have on the side is the truth. And so, I think what you will see from Allegiant, ultimately from Sunseeker and our broader umbrella, is just greater visibility into not just value – that will always be our essence, but into the stories of our customers, of our employees, and then ultimately of the community that we, Allegiant, have served where other carriers have either not served or abandoned, but that we continue to expand in. So, continue to see greater positioning toward very specific segments versus one-size-fits-all and value-only positioning going forward.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Maury Gallagher, Chairman and CEO, for closing remarks.
Maurice J. Gallagher, Jr. - Allegiant Travel Co.: Thank you all very much. Appreciate your interest and your time. We'll see you in 90 days. Thank you. Good-day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect.